Operator: Good day, ladies and gentlemen. Welcome to the Natural Grocers Third Quarter Fiscal Year 2023 Earnings Conference Call. At this time, all participants are in listen-only mode. Later we will conduct the question-and-answer session, and instructions will be given at that time. As a reminder today's call is being recorded. I'd like now to turn the conference over to Ms. Jessica Thiessen, Vice President, Treasurer for the Natural Grocers. Ms. Thiessen, you may begin. 
Jessica Thiessen: Good afternoon and thank you for joining us for the Natural Grocers by Vitamin Cottage third quarter fiscal year 2023 earnings conference call. On the call with me today are Kemper Isely, Co-President; and Todd Dissinger, Chief Financial Officer. As a reminder, certain information provided during this conference call are forward-looking statements based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements due to a variety of factors including the risks and uncertainties detailed in the company's most recently filed Forms 10-Q and 10-K. The company undertakes no obligation to update forward-looking statements. Today's press release is available on the company's website and a recording of this call will be available on the website at investors.naturalgrocers.com. Now, I will turn the call over to Kemper. 
Kemper Isely: Thank you, Jessica, and good afternoon, everyone. We appreciate you joining us today. We delivered another strong performance in the third quarter, exceeding our expectations. We believe that Natural Grocers continues to be very differentiated in the market and uniquely relevant to consumers. Our third quarter sales trends were particularly strong. Daily average comparable store sales increased 4.4%, including a 1.9% increase in daily average transaction count. More ever strength was broad-based across categories. The monthly sales comp was relatively consistent throughout the quarter. We believe that our strong value proposition, especially our carefully vetted products at always affordable prices aligns with current trends in the market. Sales also benefited from focused marketing initiatives and leveraging the Npower loyalty program. Our operations and marketing teams have transitioned well post pandemic to focus on execution. I would like to share a few examples of their initiatives that benefited the third quarter. First, we developed market-specific marketing campaigns that have accelerated sales growth in underperforming stores without diluting margin. Second, effective pricing and promotion contributed to the third quarter gross margin improvement of 130 basis points. Finally, higher labor efficiency partially offset increased wage rates and drove store productivity. Our crews commitment to operational excellence, ongoing improvement and exceptional customer service were instrumental in driving our strong third quarter performance. We achieved diluted earnings per share of $0.31 and 82.4% growth compared to the third quarter of last year. The strength of our third quarter results prompted us to raise our comparable store sales and earnings per share guidance for the fiscal year. Todd, will cover the results and outlook in more detail. Next, I would like to highlight two milestones achieved during the third quarter. The first milestone relates to our Npower loyalty program. We celebrated reaching two million Npower members during the third quarter. The net sales penetration for Npower was 77% in the third quarter, up from 75% a year ago. The continuing growth in membership and sales penetration demonstrates our customers' appreciation of the benefits and value provided by the program. Npower continues to be an effective tool for optimizing promotional activity and driving customer engagement. Examples include personalized e-mails that tailored promotional offerings to customers' preferences, market specific marketing campaigns and value-focused meal deals. On average a Npower member basket is almost twice the size of a nonmember basket. Our second milestone relates to sustainability. Natural Grocers was founded by my parents in 1955 who are inspired by founding principles that many people today would recognize a sustainability principles. As part of our long standing commitment to the health and well-being of humans, animals and the planet, we adopted single-use bag-free checkouts in 2009. Over the past 14 years we estimate our policy has prevented more than 500 million single-use plastic bags from entering the waste stream and impacting the environment. Additionally, for each customer who brings their own shopping bag, we donate $5 to a local food bank which has amounted to $2 million in donations since the program inception. I encourage you to review our 2022, ESG report for more information on the practices we have implemented to further reduce packaging and waste throughout our operations. Turning now to new store development, during the third quarter, we relocated our store in Amarillo Texas. Relocations are an important component of our store development strategy as they enable us to leverage an established market presence with a stronger facility in location. Relocations, generally realized double-digit sales growth off a mature sales base. For fiscal year 2023 we are on track to open four new stores and relocate or remodel three stores. Finally, I would like to thank every member of our good4u crew for their commitment to operational execution and exceptional customer service which were instrumental in driving our strong third quarter performance. With that, I will turn the call over to Todd, to discuss our financial results and guidance.
Todd Dissinger: Thank you, Kemper and good afternoon. We are pleased with our strong third quarter results. Net sales increased 5.8% from the prior year period to $281.8 million. Our daily average comparable store sales increase of 4.4% was comprised of a 2.4% increase in daily average transaction size and a 1.9% increase in daily average transaction count. We estimate the product cost inflation was approximately 7%, on an annualized basis for the third quarter which was down slightly from 8% in the previous two quarters. The item count per basket, compared to the prior year and in line with recent quarters. We observed minimal trade down in the third quarter. Our strongest performing departments were dairy, body care, meat and dietary supplements. Our continuing growth of supplements indicates the stickiness of elevated pandemic demand. The growth in supplements further reflects our differentiation and strong competitive position in this important category which is also margin accretive. The Natural Grocers brand represented 7.6% of total sales down slightly from 7.7%, a year ago. For the third quarter, gross margin increased 130 basis points to 28.9% and was driven by higher product margin attributed to effective pricing and promotions. Store expenses as a percentage of net sales, decreased 40 basis points and was primarily driven by expense leverage on sales partially offset by higher labor expense as a result of increased wage rates. Administrative expenses as a, percentage of net sales increased 50 basis points and was primarily driven by higher compensation expense software expense and technology amortization. Operating income increased 60.8% to $9.1 million. The effective income tax rate was 14.1% and 22.1% for the third quarter of fiscal 2023 and 2022, respectively. The decrease in the effective income tax rate was primarily attributable to increased food donation deductions recorded during the third quarter of fiscal 2023. We anticipate our normalized effective income tax rate will be more aligned with the year-to-date tax rate. Net income was $7.1 million with diluted earnings per share of $0.31 in the third quarter. This compares to net income of $3.9 million or $0.17 of diluted earnings per share in the third quarter of last year. Adjusted EBITDA was $16.7 million. Turning to the balance sheet and cash flow. We ended the third quarter in a strong financial position with $8.6 million of cash and cash equivalents. We had no outstanding borrowings under our $50 million revolving credit facility. During the first nine months of fiscal year 2023, we generated cash from operations of $36.2 million and invested $24.3 million in net capital expenditures, primarily for new and relocated stores resulting in free cash flow of $11.9 million. Today, we announced that our Board of Directors has declared a quarterly cash dividend of $0.10 per share. The dividend will be paid on September 13, 2023 to all stockholders of record at the close of business on August 28, 2023. We are raising our fiscal 2023 outlook for comparable store sales and diluted earnings per share based on our strong year-to-date performance and current trends. We are also refining our outlook for the number of new stores, relocations and remodels. Our guidance now includes the following: open four new stores, relocate or remodel three stores, achieve daily average comparable store sales growth between 2% and 3%; achieve diluted earnings per share between $0.86 and $0.94, and direct $28 million to $35 million towards capital expenditures to support our growth initiatives. In closing, we had a strong quarter that we attribute to many factors, including a loyal and resilient customer base that prioritizes our healthy and sustainably focused offerings at always affordable prices. We continue to be encouraged by our operating trends and are confident in our ability to continue to drive profitable growth and enhance value for all stakeholders. With that, I would like to open the lines for questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Scott Mushkin of R5 Capital. Go ahead.
Scott Mushkin: Hey, guys. Thanks for taking my question. And it's clear that your initiatives are obviously having a nice benefit to the business. So congratulations on that.
Kemper Isely : Thank you. Scott.
Scott Mushkin : The -- I don't know if you remember our last call I was asking you I think a little bit about how you guys performed during the last recession. I kind of wanted to take that maybe to the next step of -- as you look at your business and what's going on in the broader market. how much of the center store or a traditional grocery store is headed maybe to Amazon or Walmart. How do you think like a specialty market like yours fits into that picture?
Kemper Isely: Well, I think, because we are so differentiated from a conventional grocery store and a Walmart or Amazon for that matter that it doesn't have as much of an effect on our business. I mean, you can see it just in our supplement sales. We've had -- our supplement sales have actually outperformed our comp. And you would think that supplement sales would just naturally migrate to online, but a lot of people need some guidance and customer service and to select their supplements. And so you can get that at our stores. And so it means that we have a lot of stickiness with our -- a lot of loyalty and stickiness with our supplement customers and we're actually increasing market share, because of that. As far as the center of the store goes our standards just make it a lot easier for our customers to come and shop and not have to worry about whether or not they're buying something that's kind of -- that they don't really want to buy, because of its ingredients at Walmart or Amazon or Costco for that matter. And so -- and also we have the shopping experience in our stores very different because we have the smaller format that's easier and not is intimidating to shop. 
Scott Mushkin: Thanks for that. And then in question where I was going with that actually is that in some ways, I'm starting to think you guys are so like almost complementary, right? Like, if you're looking for specialty items or you want that consultation, you're going to head to a natural grocers or maybe a fresh market, if you're looking for that type of produce and then really almost complementary to the online and what Walmart is doing. So that was kind of where I was headed with that. So let's make the thought process that maybe that's true. Talk about like your real estate plans going forward, how many new stores you think you can grow? Maybe you said this before but maybe I just need a reminder, I heard the real estate plans for this year. But as we think about your real estate plans going forward, is there a thought maybe a little of acceleration, or how should we think about that?
Kemper Isely: The last couple of years have been a little bit slow in new store development but our plan going forward is to do six to eight new stores a year. And then, part of our strategy of course is to relocate or remodel stores, because we get quite a substantial lift in our comp when we relocate or remodel a store. And so, we do two to five of those a year also.
Scott Mushkin: And then, from -- thank you. And then any thoughts or reaccelerating, or are you just kind of -- you're happy with that 6% to 8%?
Kemper Isely: We're right at the moment, we're pretty happy with the 6% to 8%. And then, like I said, two to five relocations, it keeps us pretty busy. And that means that we can be more selective in our site location and we can also be -- it's not as dilutive to our earnings to open just piles and piles of stores.
Scott Mushkin: Right. And then, as probably a off-the-wall question a little bit. But stepping back like strategically, I don't think you guys have done maybe no M&A. I mean how are you guys thinking about that type of activities, or is that just not even on the radar?
Kemper Isely: Are you talking about mergers and acquisitions by us?
Scott Mushkin: Yes.
Kemper Isely: We really don't have that as part of our strategy.
Scott Mushkin: Okay. All right guys. We listen, real solid a quarter, congratulations again.
Kemper Isely: Thanks. You have a good day now, Scott.
Scott Mushkin: You too.
Operator: [Operator Instructions] We will wait one moment in case anyone else joins. With no further questions, this concludes our question-and-answer session. I would like now to turn the conference back over to Kemper Isely for any closing remarks.
Kemper Isely: Thank you very much for joining us to discuss our third quarter results. This month marks our 68 year serving our communities. I encourage you to visit one of our locations between August 17 and 19 to help us celebrate our anniversary. We look forward to updating you on our next call regarding the fourth quarter and full fiscal year 2023 results. Thank you and goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.